Operator: Good day, everyone, and welcome to MasTec's Third Quarter 2017 Earnings Conference Call, initially broadcast on November 3, 2017. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc, please go ahead.
J. Marc Lewis - MasTec, Inc.: Thank you, Dana. Good morning, everyone. Welcome to MasTec's third quarter 2017 earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec's future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call and the company does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in today's call. In today's remarks by management, we will be discussing adjusted financial metrics, as discussed and reconciled in yesterday's press release and the supporting schedules. In addition, we may use certain non-GAAP financial measures in this call. A reconciliation of any non-GAAP financial measure not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release, our 10-Q, our 10-K or in the Investor Relations and News section of our website located at MasTec.com. With us today, we have José Mas, our CEO; and George Pita, our Executive Vice President and CFO. The format of the call will be opening remarks and analysis by José and followed by a financial review from George. These discussions will be followed by a Q&A, and we expect the call to last about 60 minutes. We had another great quarter and we have a lot important things to talk about today. So, I'll now turn the call over to José, so we can get going. José?
José Ramón Mas - MasTec, Inc.: Thanks, Marc. Good morning and welcome to MasTec's 2017 third quarter call. Today, I'll be reviewing our third quarter results as well as providing my outlook for the markets we serve. First, some third quarter highlights. Revenue for the quarter was $1.956 billion, an increase of 23% over last year's third quarter. Adjusted EBITDA was $180 million. Adjusted earnings per share were $0.82. And cash flow from operations for the third quarter was $267 million. In summary, we had an excellent quarter. In fact, this was the best third quarter in the company's history. More importantly, I'm very encouraged by the number and diversity of the opportunities we are currently experiencing. For example, I am pleased to announce that over the last few months, we have been awarded multiple large projects, including: our previously-announced large pipeline project with an expected contract value of over $1.5 billion; fiber awards, with an expected contract value exceeding $1 billion; wind farm projects, with expected contract values exceeding $350 million; two biomass projects, which represent approximately $250 million of contract value; transmission projects, with one particular customer exceeding $250 million of contract value; and an electric distribution agreement with a utility that will significantly expand our electric distribution business. Again, I'm encouraged by the activity levels across all of our segments. We are seeing a number of other opportunities similar in size and scale to the ones I just mentioned, and strongly believe we will continue to see increasing level of activity and demand across all of our segments. We expect 2018 to be another record year for MasTec. And we're very excited about the accelerating opportunities for 2019 and beyond. We also announced yesterday that we expect to end 2017 with record backlog, exceeding $6 billion with year-over-year growth across all segments. Before I get into industry specifics, I'd like to make one last comment about our third quarter earnings. Earnings were better than expected. Our $180 million of adjusted EBITDA beat our guidance of $167 million. On the revenue side, we significantly beat expectations. It's important to understand where this came from and why we didn't get more margin flow-through. Our revenue beat was primarily associated with an increase in value and costs on one particular project that was cost-reimbursable in nature. Thus, as the contract value increases, margin dollars stay relatively equal, creating margin pressure on both the job and the segment. This contract structure is somewhat unique and we don't anticipate this similar contract structure in 2018. I'd like to note that Oil & Gas margins in the third quarter are not representative of the earnings power of our business, as we have previously demonstrated. Now, I would like to cover some industry specifics. Our Communications revenue for the quarter was $611 million. Revenues in our wireline and wireless business were up, offset by a decline in home fulfillment services. The decline in fulfillment services was driven by the slowdown in our security business, the exit of our cellular delivery business and some softness in our DIRECTV installation business. Our wireless business was up slightly year-over-year and sequentially. More importantly, we are more optimistic and have better visibility to the long-term investments that will be made in the coming years. We expect significant investments in wireless infrastructure related to the densification associated with 5G deployment. Every major carrier has publicly disclosed plans and initiatives for 5G. We're also encouraged by the progress made by FirstNet. Currently, 28 states have opted into FirstNet. While both 5G and FirstNet will have an impact on 2018 revenues, we expect that impact to accelerate throughout the year, with significant ramp in 2019. Wireline revenues for the quarter were up 20% year-over-year, and we continue to see strong demand. We continue to see an increase in nationwide fiber deployment projects from both telephone companies and cable TV operators. And I'm confident this will provide us with significant opportunities for years to come. Backlog was up sequentially in our Communications segment, driven by future fiber project growth. In fact, as I previously stated, we have now been awarded over $1 billion of fiber projects, most of which is not in our 18-month backlog and all of which we expect to perform in the coming years. The pace of opportunities continues to grow, and we expect future awards to continue to be a driver of long-term growth for us. Moving to our Power Generation & Industrial segment, revenue was $97 million for the third quarter, up sequentially from $61 million in the second quarter. More importantly, we are encouraged by the operational and financial improvements we've made. We have seen significant improvements in margins, and we now expect to see considerable revenue growth in this segment over the coming years. Backlog was up sequentially from $85 million to $331 million, and we expect backlog to grow again before year-end. As I mentioned earlier, we have been awarded a number of projects in this segment and bidding activity continues to be very strong. Revenue in our Electrical Transmission business was $82 million versus $102 million in last year's third quarter. More importantly, margins were much improved. And we continue to build off of our recent momentum. While we're not satisfied with our margins in Transmission, we've now had three consistent quarters in what we expect to be a transition year as we build backlog into the future. While backlog was down slightly sequentially, we are in the midst of a very active bidding cycle. We have a significant number of opportunities and feel we are well positioned to grow backlog and get back to or exceed historical revenue levels. Our Oil & Gas pipeline segment had revenues of $1.161 billion for the third quarter compared to revenues of $736 million in last year's third quarter. Our Oil & Gas segment had another solid quarter, but, as I mentioned earlier, margins were impacted by cost-reimbursable work. Looking into 2018, we are excited by our recent announced award as well as a number of other smaller projects we have been awarded. We expect to finish 2017 with backlog levels exceeding 2016. It's important to remember that going into 2017, our revenue expectation for Oil & Gas was roughly $2.5 billion. We now expect to generate nearly $3.3 billion in segment revenues in 2017. As we look into 2018, we again expect to generate over $3 billion in segment revenues. Our pipeline business is being driven by the level of demand in domestic U.S. work. Our Canadian business has continued to struggle as we face challenges in growing revenues. We are, however, now seeing a considerable increase in the level of active bids and RFPs. While not yet certain this will have a material impact in 2018, we believe we will see significant growth in years to come in Canada. We also remain bullish about opportunities in Mexico. While commodity prices have had a significant impact in the project development time cycle, the long-term needs remain and we view this as an attractive market in the coming years. To recap, we're having an excellent year. We increased 2017 revenue guidance to $6.3 billion, 2017 adjusted EBITDA to $630 million, and adjusted EPS to $2.80, all record levels. To compare, we started the year with revenue guidance of $5.5 billion and $550 million of adjusted EBITDA. We have now increased revenue guidance by $800 million and adjusted EBITDA by $80 million during calendar year 2017. More importantly, we're optimistic 2018 will be even better. I'd like to take this opportunity to thank the men and women of MasTec for their commitment to safety, their hard work, and their sacrifices. Our people are our most important asset, and it's because of their performance that we can produce the numbers like the ones we've talked about today. I will now turn the call over to George for our financial review. George?
George L. Pita - MasTec, Inc.: Thanks, José, and good morning, everyone. Today, I'll cover third quarter financial results, including cash flow, liquidity and capital structure, as well as our updated and increased full year 2017 guidance expectations. As Marc indicated at the beginning of the call, our discussion of financial results and guidance will include non-GAAP adjusted earnings and adjusted EBITDA. Reconciliation and details of all non-GAAP measures can be found in our press release, on our website and in our SEC filings. Here are some summary comments regarding third quarter 2017 performance, which by virtually all financial measures, represented the best quarterly performance in MasTec history. Third quarter revenue grew 23% to a record $1.96 billion. Revenue growth over both last year's level and our quarterly expectation was driven by increased large oil and gas project activity. Third quarter 2017 GAAP net income was $64.2 million or $0.77 per diluted share, with both metrics representing record third quarter performance levels. These numbers compare with $56.5 million and $0.69, respectively, last year. Third quarter 2017 adjusted EBITDA was approximately $180 million. This level compares to $165 million for the third quarter of 2016, representing a 9% increase. On a rate basis, third quarter 2017 adjusted EBITDA was 9.2% of revenue. Third quarter 2017 adjusted diluted earnings were $0.82 per share compared to adjusted diluted earnings of $0.81 per share for the third quarter of 2016. We had strong cash flow performance, generating $267 million in cash flow from operations during the 2017 third quarter, despite the working capital requirements associated with record levels of third quarter revenue. Our liquidity and capital structure are in excellent shape as we end 2017. In summary, we had strong third quarter 2017 revenue, earnings and cash flow performance and are increasing our full-year guidance expectations to new record levels, with annual 2017 revenue now expected at $6.3 billion, adjusted EBITDA at $630 million and adjusted diluted earnings at $2.80 per share. Now, we'll cover some segment detail regarding third quarter 2017 results. Oil & Gas segment revenue increased approximately $425 million, or 58% compared to the same period last year, to approximately $1.16 billion. This level was higher than our quarterly expectation due to increased large project activity. Third quarter 2017 Oil & Gas segment adjusted EBITDA margin was 9.3% of revenue compared to 16% of revenue in the same period of the prior year. During the third quarter of 2017, we experienced increased project activity on a large project that was primarily on a cost-reimbursable basis and this reduced our adjusted EBITDA margin rate performance. As expected, Communications segment revenue was $611 million, slightly below last year's level of $624 million. Third quarter 2017 Communications segment adjusted EBITDA margin was 10.7% of revenue compared to 10.1% last year. On a sequential basis, adjusted EBITDA margin improved 60 basis points when compared to the second quarter of 2017, and this performance is consistent with our previously-indicated expectation that Communications segment margin performance would improve during the second half of 2017 and approximate last year's second half levels. Electrical Transmission segment results again improved sequentially, with third quarter 2017 adjusted EBITDA at approximately $5 million or 5.5% of revenue. On a year-to-date basis, Electrical Transmission segment results have improved $47 million when compared to last year. Year-to-date improvement aside, we continue to see 2017 as a transitional year for this segment, with expected improvement in end-market, large project opportunities in 2018 and beyond. Third quarter 2017 Power Generation & Industrial segment revenue was $97 million compared with $124 million last year. Adjusted EBITDA was approximately $9 million or 9.6% of revenue compared with 4.9% last year. Once again, the group had strong project performance and execution during the quarter. We are excited to report a $250 million increase in sequential backlog in this segment and have also secured additional project awards during the fourth quarter, giving us confidence in sizable 2018 growth in this segment. In our Other segment, during the third quarter of 2017, we recorded approximately $7 million in earnings related to the proportionate equity ownership in the two Waha pipelines, which are now both in service and generating income. This income is included in the equity and earnings of unconsolidated affiliates' line item on our income statement. On a go-forward basis, we anticipate that this equity investment will generate approximately $20 million in annual income. To summarize, we had strong third quarter 2017 performance and have increased our annual 2017 guidance expectation to yet another new record level. Our top 10 largest customers for the third quarter, as a percentage of revenue, were: Energy Transfer affiliates was 49%, reflecting the record level of third quarter oil and gas project activity on multiple projects; AT&T revenue, derived from wireless and wireline services, was approximately 13% and install to home services were approximately 8%. On a combined basis, these three separate service offerings totaled approximately 21% of our total revenue. And it is important to note that these offerings, while falling under the AT&T corporate umbrella, are managed and budgeted independently within that organization, giving us diversification within that corporate universe. Enterprise Products Partners was 3%. NextEra Energy, Duke Energy and Comcast were each at 2%. And Diamond Pipeline, Iberdrola Group, American Electric Power and Apache Corporation were each at 1%. Individual construction projects comprised approximately 68% of our third quarter 2017, revenue with Master Service Agreements comprising 32%. And this mix reflects the current level of large oil and gas project activity. We ended the quarter with backlog at approximately $5 billion compared to $4.7 billion in the same period last year. As expected, total backlog was sequentially lower due to the burn-off of large oil and gas project activity. And, as we have said for years, it's important to consider that quarterly backlog amounts tend to be lumpy, as large contracts burn off each quarter and new large contracts awards only come into backlog at a single point in time. Continuing the theme of large project award timing, we announced last month that we were awarded a $1.5 billion large oil and gas project, which will be reflected in our backlog at year-end, and we remain highly confident that our year-end 2017 Oil & Gas segment backlog will exceed our year-end 2016 level. As we have indicated repeatedly, we believe we are in the midst of a multi-year cycle of long-haul project activity in the U.S. that will drive significant demand for our future oil and gas services for several years. And, as a testament to that thesis, our expected 2017 year-end backlog will mark the third consecutive year with Oil & Gas segment backlog exceeding $2 billion. Backlog highlights during the 2017 third quarter include sequential increases in our Power Generation and Communications segments. In our Communications segment, in recent quarters, we have secured over $1 billion in awards in the fiber deployment area, with less than half of this amount currently reflected in our 2017 third quarter backlog, as project activity will continue to ramp beyond our current 18 month backlog amount. Lastly, as we indicated our release yesterday, we have experienced significant project award activity during the 2017 fourth quarter across multiple segments and anticipate that our 2017 year-end backlog will grow by over $1 billion from the current third quarter 2017 level to a new record level exceeding $6 billion, with expected year-over-year backlog growth across all of our segments. Regarding other areas of the income statement below the EBITDA line, third quarter 2017 depreciation and amortization expense was approximately $50 million or 2.6% of revenue, compared to 2.7% of revenue for the same period last year, with the decrease primarily due to higher revenue levels. Interest expense for the third quarter of 2017 was $17.6 million or 0.9% of revenue, compared to 0.8% of revenue for the same period last year. This level was slightly higher than last year due to interest rate increases and working capital usage related to financing our record level of third quarter revenue. Now, I will cover our cash flow liquidity and capital structure. As we have previously noted, our long-term capital structure is solid, with low interest rates and no significant near-term maturities, and we have an excellent and supportive bank group. We exit the third quarter with ample liquidity, defined as cash plus availability under our senior secured credit facility, of approximately $650 million. During the third quarter, we sequentially decreased our net debt, defined as total debt less cash, by $136 million or approximately 10%, with our third quarter 2017 accounts receivable days' sales outstanding, or DSOs, in excellent shape at 67 days. We achieved these levels despite the working capital requirements associated with record levels of third quarter 2017 revenue, including a $58 million sequential increase in change orders related to large oil and gas project activity, which we expect to resolve in the ordinary course of business during our fourth quarter. As a reminder, consistent with our previous views, quarterly DSOs typically fluctuate based on project timing and retainage payments, and our DSO target range remains in the mid to high-70s. Our third quarter 2017 book leverage ratio, defined as net debt levels divided by trailing 12-month adjusted EBITDA, was 1.8 times, affording us sizeable financial flexibility. We anticipate a fourth quarter 2017 net debt reduction similar to the amount experienced during the third quarter and expect that our year-end 2017 book leverage ratio will remain at under 2 times. Regarding our outlook for full year 2017 spending on capital equipment, we continue to anticipate cash CapEx, defined as CapEx net of asset disposals, to approximate $90 million and $155 million of equipment procured under capital leases. This 2017 CapEx level reflects our confidence based on our visibility of a continued multi-year cycle of large oil and gas project activity. With regard to our full year 2017 guidance expectation, we are increasing our annual revenue expectation by $300 million to $6.3 billion. We are also increasing our annual adjusted EBITDA expectation by $10 million to $630 million or 10% of annual revenue and our expectation of adjusted diluted earnings per share by $0.07 to $2.80. We currently estimate that 2017 annual interest expense will approximate $61 million or 1% of annual revenue and that depreciation and amortization expense will approximate $188 million or 3% of annual revenue. We currently estimate that our annual 2017 net income attributable to non-controlling interest will approximate $1.5 million. We anticipate our full year 2017 GAAP income tax rate will approximate 40% and our full year 2017 adjusted income tax rate will approximate 39%, with this difference due to the estimated tax effect of all adjusted items, including the impact of share-based compensation. This expectation does not reflect any potential actions that may be taken by the U.S. Government related to potential tax reform. Based on our initial review of yesterday's House tax reform bill proposal, we believe we would generate significant incremental cash flow, net income and earnings per share benefits if this bill were enacted. Lastly, our share count for diluted earnings is about 82.5 million shares for the fourth quarter and 82.3 million shares for the annual 2017 period. And this guidance expectation assumes no 2017 share repurchase activity. Turning to fourth quarter 2017 guidance, we currently estimate that fourth quarter 2017 revenue will approximate $1.3 billion. Fourth quarter adjusted EBITDA is estimated to approximate $113 million or 8.7% of revenue. Lastly, adjusted diluted earnings per share is estimated to approximate $0.36 per share. Fourth quarter guidance incorporates the normal fourth quarter seasonality trends, which, due to the combination of winter weather and holidays, tends to reduce revenue levels and productivity. In summary, we are proud of our third quarter 2017 results and pleased to increase our full year 2017 guidance expectation to yet another record level. We have strong and visible opportunities across our end markets that support optimism for multiple years. And our capital structure is in excellent shape, leaving us well-positioned to take advantage of the various opportunities our markets afford us. This concludes our prepared remarks. And now, I'll turn it back to the operator for the Q&A portion.
Operator: Thank you, sir. And we'll go first to Noelle Dilts with Stifel.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning. And congratulations on a good quarter. It sounds like there are a lot of exciting things going on.
José Ramón Mas - MasTec, Inc.: Thank you, Noelle.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: So, just starting with Oil & Gas, just given sort of the almost mix issue in the quarter and that it looks like the pipeline construction industry will be approaching full capacity utilization in 2018, can you just kind of give us some thoughts on what you're seeing in terms of pricing, contract structure, the overall return profile of these larger jobs that are on the horizon? And if I'm not mistaken, most of these jobs tend not to be cost-reimbursable? So, could you also, perhaps, touch on how to think about the margin profile of this new $1.5 billion job relative to Rover?
José Ramón Mas - MasTec, Inc.: Yeah. Sure. So, we've been talking a long time about what we've been seeing in the industry, the improvements that we've seen, both from a contract structure perspective and a pricing perspective, that I think we've seen now for well over a year. Obviously, the market is very healthy. I think that's been demonstrated in our results over the course of the last few quarters, especially in our Oil & Gas business. Again, I think, when you look at the third quarter, for us, it's somewhat of an anomaly. We had one particular issue where we had one contract in particular. A lot of cost-reimbursable work brought down our margins. Again, we don't think that that sticks. So, as we exit that job and move on to our next slew of projects, we expect to get back to what we would consider a more normalized margin base on our Oil & Gas business. If you back out kind of that reimbursable work for the quarter, we were probably in that mid-12% margin range, maybe a little bit closer to 13%. And that's kind of the guidance that we've given around our business over the last year or so, without any favorable close-outs. We think that's the right margin to think about. And then, the margin can get better relative to how projects perform and how projects close out.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Got it. And then, on the telecomm side, obviously really impressive award activity, particularly on wireline, can you help us with how to think about the timing of construction activity, both in wireless and wireline, in 2018? Is this going to be more of a back half-weighted year or could we see a strong ramp earlier? And then, also does the backlog or the recent awards include any work on FirstNet?
José Ramón Mas - MasTec, Inc.: Yeah. So, it's incredibly exciting. I don't ever remember seeing the kind of activity levels that we're seeing today across that entire sector. We do think that the business will ramp. We don't get out of the gates in 2018 at a full level. A lot of these awards have happened recently and, by the way, are still happening, so there's still a lot of opportunity for further growth. So, as I think about the wireline business, in particular, I think it ramps as 2018 goes. I do think it's heavier in the back-end than it is in the first half, and then I think it really starts to peak during 2019 and 2020. It's got tremendous legs. And I think it's going to be an incredible run for a long time. On the wireless side, I think it's somewhat similar. When you think about 5G, a lot of the 5G plans are still being somewhat implemented. I do think we'll see activity associated with both 5G and FirstNet in 2018, but at the same time, I also think it'll be heavier in the back-end of the year, and then much stronger in 2019 than it will be in 2018, just on how that business is progressing and the plans are being laid out.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Thanks so much.
José Ramón Mas - MasTec, Inc.: Thank you, Noelle.
Operator: And we'll take our next question from Matt Duncan with Stephens.
Matt Duncan - Stephens, Inc.: Hey. Good morning, guys. Congrats on another great quarter.
José Ramón Mas - MasTec, Inc.: Thank you, Matt. Good morning.
Matt Duncan - Stephens, Inc.: So, José, you ran through a number of large wins in your prepared comments. Just curious, of all the stuff that you ran through, what's in backlog and what's not, so far?
José Ramón Mas - MasTec, Inc.: So, I would say that most of it is not in backlog. Part of the anomaly that we have is we run an 18-month backlog. So, as we talk about our backlog, it's only 18-month. A number of those projects that we talked about there, some will go beyond 18 months, like the fiber awards. So we're only going to include in backlog the 18 months on a go-forward basis. So all of it will not enter backlog at the same time. But with the exception of some fiber awards that we already had in backlog, not all, but some, and a little bit on the transmission side, pretty much everything else is not in backlog.
Matt Duncan - Stephens, Inc.: So, is it fair to...
José Ramón Mas - MasTec, Inc.: As of the end of the third quarter.
Matt Duncan - Stephens, Inc.: Okay. So, is it fair to say that when you say $6 billion-plus in backlog at year-end, I mean, it feels like given where 3Q backlog levels were and the large award in oil and gas, that that's pointing me to a number more like $6.5 billion. Is that a reasonable number sort of where you think you're going to be with the wins that you've had here in the fourth quarter?
José Ramón Mas - MasTec, Inc.: You know, it's going to depend on how much we view being performed in the next 18 months. I think it will definitely be above $6 billion. I think it could be approaching $6.5 billion, depending on where it ends up around how much of that activity actually happens over the next 18 months. And that's probably why we didn't give a more specific number.
Matt Duncan - Stephens, Inc.: Okay. And the last thing, can you give us a little perspective on the $1.5 billion oil and gas project that you did win? Is there anything you can say about the timing of that project maybe relative to Rover as we look at 2018? Is the timing of that project similar to what you had on Rover? Is that just an 2018 project? Could it carry into 2019? Just anything else you can tell us to help there would be great.
José Ramón Mas - MasTec, Inc.: Yeah. It would be very similar. So, Rover is predominantly a 2017 project. We would expect that project to be predominantly an 2018 project. We'll probably have some spill-over into 2018 early on, on Rover, especially on clean-up and things like that, and we would expect the same thing on our 2018 project.
Matt Duncan - Stephens, Inc.: Okay. Great. Thanks, José.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: And we'll take our next question from Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, José. Congrats on another good quarter.
José Ramón Mas - MasTec, Inc.: Thank you, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: So, José, when I look back to the whole 4G build-out, you saw for four years on a compounded annual growth rate basis, 20% type of growth rates. If you look at the fiber and the 5G side, is that the kind of rates you could potentially see into 2019 plus?
José Ramón Mas - MasTec, Inc.: Yes.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Okay. That was pretty clear.
José Ramón Mas - MasTec, Inc.: Yeah. I don't think we see it in 2018 because I think, again, a lot of it is really ramping in 2018, but we definitely see growth in 2018. I would expect our Communications business to grow close to double digits next year and we do see some slowdown in the installation side of that business, so all-in, it should be a very strong growth year. And I think that growth significantly accelerates in 2019 and beyond.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. And, José, you know, based on the backlog guidance you provided for this year, you will be ending with your backlog up in the double-digit. How should we think about the top line? Does it all extrapolate into something similar or should we just be a little more conservative in how we build out the top line into 2018?
José Ramón Mas - MasTec, Inc.: The way we're thinking about now is, we're probably going to be a little bit more conservative. We look at our pipeline business and, again, we came into this year thinking we'd do about $2.5 billion. We're going to end up doing $3.3 billion. Some of that we consider pass-through, so I think our revenue levels on pipeline are somewhat accelerated this year. And as we think about 2018, we know we can do over $3 billion. Whether we can beat the $3.3 billion, time will tell. So, I think we're not going to see significant growth in that business, so it kind of tempers the overall growth of the company for 2018, although everything else is growing nicely. So, I think we're going to be up somewhere in that mid-single digits probably, is if we were taking a conservative view today of next year is probably what we would be thinking.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Awesome. Thank you very much, José.
José Ramón Mas - MasTec, Inc.: Thank you, Tahira.
Operator: And we'll take our next question from Alex Rygiel with B. Riley FBR.
Alex J. Rygiel - B. Riley FBR, Inc.: Thank you for taking my question and great quarter, José.
José Ramón Mas - MasTec, Inc.: Thank you, Alex. Good morning.
Alex J. Rygiel - B. Riley FBR, Inc.: First, could you address the backlog that you see inside the FERC and how you think some of these projects could proceed through approval?
José Ramón Mas - MasTec, Inc.: We've said for a long time, we're not very concerned. We knew that, ultimately, FERC would appoint its new members. I think now FERC has full quorum. So, as of yesterday, I think FERC is now completely active. We think it's a favorable FERC environment and we think that projects will make it out, which is going to create an enormous amount of activity over the next few years.
Alex J. Rygiel - B. Riley FBR, Inc.: And then, secondly, great cash generation in the third quarter. Can you provide us a little bit of guidance on cash generation in the fourth quarter? And then tie that in with your comments about share repurchase interests at this level. Obviously, you've got a buyback of about $100 million in place. Is it time to expand that and get more aggressive?
George L. Pita - MasTec, Inc.: Hey, Alex. It's George. In terms of fourth quarter view, we indicated we thought we'd reduce debt levels at a similar rate to what we did in the third quarter. We reduced our debt in the third quarter by $130 million-plus, close to $140 million. So, we'll see a similar debt reduction in the fourth quarter. That puts us significant sizeable growth in cash flow from operations over the year should be in that $350 million range. And that's going to have the normal seasonality you have in the fourth quarter, with lower revenue and then retainage payments and all that stuff built in.
José Ramón Mas - MasTec, Inc.: So, Alex, I'll address the share repurchase. When we think about 2017, we knew we would have significant growth during the year. We knew that that would affect working capital, which it did earlier in the year. I think we saw a big turnaround of that in the third quarter and we expect it to continue. We're obviously disappointed with where our stock price is relative to the performance that we've had. Our stock price has been somewhat flattish, even though we've significantly increased both revenue and EBITDA guidance over the year. So, it's something we're looking at a lot harder on now and I think it'll be for interesting discussion over the coming months to see how our stock price reacts.
Alex J. Rygiel - B. Riley FBR, Inc.: Thank you very much.
José Ramón Mas - MasTec, Inc.: Thanks, Alex.
Operator: And we'll take our next question from Alan Fleming with Citi.
Alan Fleming - Citigroup Global Markets, Inc.: Hi. Good morning, guys.
José Ramón Mas - MasTec, Inc.: Morning, Alan.
Alan Fleming - Citigroup Global Markets, Inc.: José, you're guiding to about 10% EBITDA margin on the highest revenue that the company has seen. So, I think in the past, you've talked about potentially being a 12% type EBITDA business over time. So, maybe you can talk about your confidence that 10% is not the peak in EBITDA margin. And do you think that higher than 10% is a good starting point for 2018, if you can get three or maybe all four of your business lines kind of operating more towards normative levels next year?
José Ramón Mas - MasTec, Inc.: Sure. Couple things, if you look at where we started the year relative to where we thought we'd be and where we are today, with the exception of pipeline, we're pretty consistent across all the other areas. We continue to believe that in those markets we're going to see growth, we've had solid margin improvements in both our Transmission and Power Gen business this year. We expect that to continue and to accelerate over time, which obviously helps the whole margin mix and profile of the business, especially as those businesses grow. Our Communications business, we definitely think will significantly improve over the coming years. And on the pipeline side, quite frankly, for lots of reasons, right, I think margins look weaker now than what they did last year and what we expected them to be this year. And I think some of that reverses course in 2018 as well. So, we definitely don't think 10% is the peak of our margins. With where we are today, going into 2018, we probably wouldn't guide much differently than that, but the opportunity exists for us to do a lot better than that. And as these different businesses continue to grow and improve, it'll definitely help our mix. So, again, we're really excited about where we are as a business, what the future holds for us and our ability to continue to over-perform and out-perform.
Alan Fleming - Citigroup Global Markets, Inc.: That's helpful, and maybe switching gears a little bit, can you assess the future of the installation business for you? Obviously, there was a lot of noise in the quarter about subscriber losses in the traditional DTV business. You guys have been in this business for quite a long time. I know it's a good cash-generative business for you, but what's the future of this for MasTec? The diversification has kind of been mixed there. Your efforts there has been mixed. How do you think about this or some of the secular headwinds you see in things like DTV?
José Ramón Mas - MasTec, Inc.: Sure. I think I love the business. I think it's an excellent business. If you think about DIRECTV in particular, we had a lot of growth from 2015 to 2016. A lot of that had to do with the AT&T acquisition at that time and what was happening with U-verse customers. So, from 2015 to 2016, revenues were up north of 20%. If you look at where we are for 2017, we're actually slightly above where we were in 2015. So as the business has kind of given back the gains we made in 2016, we're relatively flat with where we were in 2015. We do expect to see a little bit of softness in that business on a go-forward basis. But like we've said for a long time, we think we have an amazing business and an amazing business potential with the amount of fulfillment, just the number of visits we make to homes, the ability to have trucks and warehouses across the country, and the value that that brings, a significant amount of customer-touching products. So, we continue to work hard at diversification in that space. Unfortunately, some of the diversification efforts that we made, they went really well for a while and then they kind of slowed down, and a lot of it had to do with who owned the assets we were working for. But we continue to be very bullish on the ability to expand into security and what we can offer customers in doing that. And we continue to believe that there's a lot other products we can help sell into that home and fulfill at the home, and we'll continue to do that as well. So, we think we've got a good model, which obviously has grown over the years with DIRECTV. And you're absolutely right in saying we've had mixed success on diversification, but we think over time, we'll have a lot of success in diversification.
Alan Fleming - Citigroup Global Markets, Inc.: Thank you very much.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: And we'll take our next question from Jamie Cook with Credit Suisse.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi. Good morning. Nice quarter. I guess a couple questions, José. One, on the Oil & Gas business, given the strength of the awards and the booking that you just secured, how do we think about your capacity constraints or your potential to book more work, just given where we sit today? My second question is on the Communications margin going into 2018, I know you talked about some utilization issues over this past year. How do we think about margins and utilization improving in 2018 on the Communications side? And then, my last question is, how would you characterize the bookings potential this year in communications versus oil and gas? Because I still feel like when I talk to investors, while you proved them wrong on oil and gas, they're still somewhat hesitant on your ability to really book work in 2018 on the communications side. And they feel like it's more of a 2019, 2020 story. Thanks.
José Ramón Mas - MasTec, Inc.: Okay. So lots of questions there; on the oil and gas side, we definitely will continue to try to book and win work throughout the year, as we said in our prepared comments. We came into the year thinking we'd do $2.5 billion in Oil & Gas revenues. We'll end up doing $3.3 billion. So, we still have a huge component of our business that's book-and-burn. It will always be there. The market on the book-and-burn side and the shale side has significantly improved throughout 2017. We don't see that shifting, so, there's a lot of opportunities for us there. And what we're going to have to manage through is where are we in terms of available resources and what can we stretch and what can we do and do effectively. So, we feel really good about that and where we sit going into 2018 in our ability to improve on that. On the communications side, we're in two awesome businesses, right? One is wireless construction which, I think it's proven itself over time. 5G is real. 5G is coming. The need for speed is there and it's going to have a significant impact to wireless infrastructure build-outs throughout the country for multiple carriers. That's not necessarily a 2018 event and anything you can think about in the wireless market, there's no way you can get to the point to believe that there's not going to be considerable spend on infrastructure, be it in small cells, be it in densification, be it in macros, and we're going to be a big beneficiary of that. So, if you believe that wireless speeds are going to continue to improve, MasTec will benefit from that. And we'll benefit in big way, again, so I think that growth story is intact in there. On the wireline side, I don't know how anybody can question our ability to book work. We've won over $1 billion of fiber awards, primarily for customers that we hadn't worked for in the past, for work that's going to happen over the course of the next few years. So those awards, by themselves, are going to create significant growth in our business versus vis-à-vis where we are today. So, again, we're super-excited. And, again, that we're at the beginning phases of that. There's a lot of work that's going to continue to come out, and we think we'll continue to win our share, be a big beneficiary of that. So as it relates to those two businesses, we're in great shape and feel great about them.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Sorry, margins on the communication side, just the utilization issue...
José Ramón Mas - MasTec, Inc.: So it's all going to be about ramp, right? So we know that next year we're going to be ramping. The quicker we ramp, I think the better the margins get over time. I don't know that we would be talking about a significant improvement in margins relative to where we are today. But I do think they get better as the year goes on, because that's when the ramp starts. We'll probably have some expenses as we ramp up. And then, I think the business will be humming by the end of the year and I think it'll be a really strong 2019.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Thanks. I'll get back in queue
José Ramón Mas - MasTec, Inc.: Thanks, Jamie.
Operator: And we'll go next to Chad Dillard with Deutsche Bank.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. Good morning, guys.
José Ramón Mas - MasTec, Inc.: Morning, Chad.
Chad Dillard - Deutsche Bank Securities, Inc.: Morning. Can you speak to how your margin in the Oil & Gas backlog, and that's including the $2 billion that you won after the third quarter, compares to your margins for 2017? It sounds like you might have a higher mix of fixed price work and I just wanted to understand whether you could actually see some margin improvement here in 2018?
José Ramón Mas - MasTec, Inc.: Sure. So it depends how we look at it, right? We went into 2017, very confident on the margins in our Oil & Gas business. Obviously, we had a contract structure that limited the upside on particular projects on what we could make. That doesn't really exist for 2018, so we feel like our work for 2018 is priced really well. And our ability to generate good margins is going to be solid, as I said earlier. I think we've consistently said that a 12% to 13% (47:34) range is a really good base range to start with and it gets a lot better based on execution and project close-out. So, that's how we would look at it. So if I'm thinking about 2018, I would probably start around those numbers and know that we're going to hopefully do better than that based on project execution over the course of the year.
Chad Dillard - Deutsche Bank Securities, Inc.: Got it. And then, just looking a year ahead in oil and gas, can you compare the level of bidding activity you see ahead in 2018 for pipelines that are starting construction in 2019 with the level of bidding activity that you saw in 2017 for pipelines that are starting in construction 2018?
José Ramón Mas - MasTec, Inc.: I'd say it's better, but the caveat I would throw into that is we're over a year out. And up until last year, you wouldn't even be thinking about a year out in this business. This was, again, predominantly a book-and-burn business. So, I think the business has changed a lot in the last two years relative to the larger projects. We saw a lot of visibility, without maybe knowing about a single particular project two years ago. We continue to see that. There are a number of projects that are slated to go in 2019 or 2020. We feel great about it. We think we've got the ability to continue to fill in our backlog over time. And we don't see a drop-off in the business, like some suggest. We think it's a very strong market, both in long-haul and in the shale plays, and we continue to think that that'll play out. We also talked about on the call, which I think is really important as it relates to us, we do see significant opportunities in both Canada and Mexico. They are not 2018 opportunities, but as we start thinking about 2019, 2020, and beyond, we think those will be much bigger plays than they are today and help us to further grow that business.
Chad Dillard - Deutsche Bank Securities, Inc.: Great. Thanks, guys.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: And we'll go next to Brent Thielman with D. A. Davidson.
Brent Edward Thielman - D. A. Davidson & Co.: Thanks. Good morning. Maybe on some of the other segments, José, the Power Gen business looks like it's going to take a big turn into next year with the work you're picking up. What's the expectation for margin in that business, and is this 9% to 10% indicative where that business should be?
José Ramón Mas - MasTec, Inc.: It was obviously a good quarter. I don't know that we would probably be guiding to those levels on a go-forward basis, until we can consistently do that over time. Very positive trends in the business; I think we've had those trends, now, consecutively for the last few quarters. We're going to see a big jump in revenues in that business, and we're really excited. We've always been a big believer in that business. The business has somewhat over-performed over the last couple years. Market is really hot right now and we feel great about where we sit in that business and our ability to get better-than-historical averages in margins versus where we've been over the last few years.
Brent Edward Thielman - D. A. Davidson & Co.: Okay. And then, this utility distribution agreement, any flavor for what that means for the segment, kind of incremental revenue might be attached to that?
José Ramón Mas - MasTec, Inc.: We're not going to give more details about it now; big opportunity for us, will significantly enhance our distribution capabilities and, hopefully, something that will start to ramp in 2018 and really take off in that 2019-2020 timeframe.
Brent Edward Thielman - D. A. Davidson & Co.: All right. Thanks.
Operator: And we'll take our next question from Adam Thalhimer with Thompson Davis.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: Hey. Good morning, guys. Great quarter.
José Ramón Mas - MasTec, Inc.: Hey. Good morning, Adam.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: José, the Power Gen business on the top line, similar question to the last question, 2016, you did a little over $400 million of revenue. I guess you see the potential to get back there, maybe even higher.
José Ramón Mas - MasTec, Inc.: Yeah. The potential is there to get a lot higher than what it was in 2016.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: In 2018 or further down the road?
José Ramón Mas - MasTec, Inc.: Well, definitely further down the road, but even potentially in 2018.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: Got it. And then, this active transmission bidding environment, when do you think that could hit backlog for the Electrical segment?
José Ramón Mas - MasTec, Inc.: It's a good question. We're very hopeful that it could happen before year-end. But I think going into Q1 and Q2, there's just so much work that I think in the next nine months for sure, there's going to be a big change to, I think, everybody's backlog in the industry. I think there's projects that'll happen earlier and projects that will delay a little bit, but it's a very active market right now and one that I think is going to be really, really strong for years to come.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: Great. Thanks.
José Ramón Mas - MasTec, Inc.: Thanks, Adam.
Operator: And we'll go next to Bobby Burleson with Canaccord.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Hey, good morning.
José Ramón Mas - MasTec, Inc.: Good morning.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Just following up on the electrical transmission, curious, it sounds like a lot of larger projects outstanding. Curious what the margins could look like on some of these awards in 2018 and beyond.
José Ramón Mas - MasTec, Inc.: We've historically said that our goal, and we think the market is there, to get back to historical levels. We used to be in the low double-digit EBITDA range. We think there's no reason why we shouldn't at least return to those levels.
Robert Joseph Burleson - Canaccord Genuity, Inc.: That'd be great.
José Ramón Mas - MasTec, Inc.: Whether we get there fully in 2018 or not, I'm not sure. I think 2018 is better, but I think obviously it depends on the revenue ramp. And as the revenue ramp improves, the opportunity to get there gets quicker.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Okay, great. And then, just curious on the wind farm projects. There's a lot more activity, it sounds like, there and curious of size of the average project that you think is coming, total revenue size for you guys in the construction side.
José Ramón Mas - MasTec, Inc.: It's an interesting question and one that we're kind of seeing a change in the market. Historically, a lot of these contracts were bid on a single wind farm by single wind farm basis. Today, we're seeing customers put you know packages of wind farms together and put them out and try to sign for contracting services over a longer period of time, which I think bodes really well for companies like ours. We're also seeing a difference between, obviously, the Tier 1 developers and smaller developers who are more dependent on tax credits. We're seeing Tier 1 developers be a lot more active in the business; in many cases, not even using the available tax credits and trying to find other ways to fund it. So it's actually, the business is really solid. We see significant improvements in the size of that business and the size of the opportunities going out over the next few years versus the last few years; so, again, a very positive trend for us.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Okay. Thank you.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: And we'll take our final question today from Andy Wittmann with Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Great. Thanks. Given the materiality of the $1.5 billion win, I was just wondering what permitting or regulatory hurdles you have that need to come to fruition for that project to move ahead, and when you think those will be met to get to file full Notice to Proceed.
José Ramón Mas - MasTec, Inc.: We think they've made great progress. We expect to start on that job early in 2018. Nothing's changed relative to the expectation on timeframe and I think everything is trending really well so far, so no concerns from our side.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: And then – okay. And then, on the pipeline job and the reimbursable portion, I guess, I wanted to kind of just understand a little bit more about the terms and conditions that are in the marketplace. Was this entire job reimbursable or was there a portion of it that was applicable to being reimbursable and what does it say? You said it was unusual, but are you seeing a broader trend towards reimbursable pipeline construction?
José Ramón Mas - MasTec, Inc.: So, I'd say it was a unique situation. I would say that it was a portion of it, more so than not, that fell under this category. And, again, I think it was a very unique structure based on the time of the award, the relationship with that customer, the expectations that that customer had, and the need that they had at the time, and our willingness to do it. So, at the end of the day, quite frankly, it's an excellent deal for us, despite having some revenue that flows through without a lot of margin. The overall deal's an excellent deal for us. And we'd do it again if we had the chance to do it again with customers. Again, it's unique. So, it's not something that we typically do or see. We don't have it in any other projects that we've got going on in 2018 at this point, but something we would happily entertain with customers in the future.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Yeah. That makes sense. The final question is just on the biomass plant that you talked about at the outset of the call here. I was just hoping you could give a little bit more sense about what the risk terms are on that one specifically? Is that one a full EPC or are you a sub? Are you a prime on that one? I think some conversation, right (56:36) because we haven't seen you guys do a lot of biomass. Maybe I'm wrong on that, but I don't think you have at all.
José Ramón Mas - MasTec, Inc.: Yeah. We've done some historically and we've also done some gas-powered generation with success. So, we've got a nice offering in that. Obviously, we've been working hard. It was part of our diversification efforts in our Power Gen business over a long period of time. This is a project we've been working on for awhile. We think the risk profile of this project is really good. This is not a full fixed price EPC, so I think the risk that we're taking is very moderate based on the returns. And, again, we're excited to work on it, excited to add it to our resume and, hopefully, we'll demonstrate solid performance on that job and throughout the following year.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Great. Thank you very much. Have a good day.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: And at this time, I'd like to turn things back to José Mas for any additional or closing remarks.
José Ramón Mas - MasTec, Inc.: Just like to thank everybody for participating today on our third quarter call and we look forward to updating you on our year-end call in a couple months. Thank you.
Operator: Thank you. And that does conclude today's conference. Thank you for your participation. You may now disconnect.